Operator: Good day, ladies and gentlemen, and welcome to the Hawaiian Electric Industries Inc. Q1 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Manager of Investor Relations, Mr. Cliff Chen, you may begin sir.
Cliff Chen: Thank you, Andrew and welcome to Hawaiian Electric Industries First Quarter 2016 earnings conference call. Joining us this morning are Connie Lau, HEI President and Chief Executive Officer, Jim Ajello, HEI Executive Vice President and Chief Financial Officer, Alan Oshima, Hawaiian Electric Company President and Chief Executive Officer, Rich Wacker, American Savings Bank President and Chief Executive Officer as well as other members of Senior Management. Connie will provide an overview, followed by Jim, who will update you on Hawaii's economy, our results for the first quarter and our outlook for the remainder of the year then we'll conclude with questions-and-answers. In today's presentation, Management will be using non-GAAP financial measures to describe the Company's operating performance. Our press release and webcast presentation materials, which are posted on HEI's Investor Relations Web site, contain additional disclosures regarding these non-GAAP measures, including reconciliations of these measures to the equivalent GAAP measures. Forward-looking statements will also be made on today's call. Actual results could differ materially from what is described in those statements. Please refer to the forward-looking statements disclosure accompanying the webcast slides, which provides additional information on important factors that could cause results to differ. The Company undertakes no obligation to publicly update or revise any forward-looking statements, including EPS guidance, whether as a result of new information, future events or otherwise. I will now turn the call over to our CEO, Connie Lau.
Connie Lau: Thank you, Cliff, and aloha to everyone. Turning to our first quarter results, both our bank and utility delivered financial results in line with our full year expectations, although expenses to support our filing of plan to achieve our state goal of 100% renewable energy by 2045 caused utility expenses to come in slightly higher than normal. At the utility we continue to work on action plans to ensure reliable service for our customers and to lay the foundation for Hawaii’s renewable energy future. These plans include modernizing our electric grid, implementing smart meters and other enhanced technology and supporting the electrification of transportation to help reduce our state’s reliance on fuel oil for our cars and other vehicles. Even though our customers are seeing the lowest electric bill in more than 6 six years largely due to lower fuel oil prices, we know first-hand how volatile oil prices can be and remain committed to reducing our state’s reliance on imported oil, attempting to reduce price volatility by locking in lower pricing for the long-term and protecting Hawaii’s environment. At the bank, we saw excellent deposit growth and higher net interest income and margins. However the bank results were impacted by higher provisioning in the first quarter which Jim will cover in greater detail a little later. Turning to Slide 3 regarding the utility merger with NextEra Energy, the Hawaii Public Utilities Commission’s regulatory hearings on the merger were completed on March 01st after three rounds of hearings covering more than 20 days. On May 02nd, we filed our Post-Evidentiary Hearing Reply Briefs along with other parties and interveners and now the docket is complete and the PUC can hereafter render its decision. There is no statutory deadline for the Public Utilities Commission to decide. In addition to the PUC approval of the merger, the bank spin-off requires Federal Reserve Board approval to de-register HEI as a savings and loan holding company. Most of the conditions for the spin-off have been satisfied although certain of the conditions can only be satisfied shortly before closing. However we are well prepared for this spin-off. The bank accomplished an important step this morning towards its planned cross conditional spin off as an independent publicly traded company by filing a second amendment to the Form 10 with the Securities and Exchange Commission. If the utility merger is not consummated by June 3rd, our merger agreement with NextEra Energy contains certain termination rights for either party to terminate the agreement. However we continue to believe that the right partner for Hawaii and for Hawaiian Electric is NextEra Energy which brings a powerful combination of renewable energy experience, technological and operational knowhow and financial strength to help achieve Hawaii's 100% renewable energy goal, the most ambitious goal in the country. On April 1st, our utilities filed their comprehensive update to the power supply improvement plans that chart a 30 year course leading to 100% renewable energy in Hawaii. Hawaii continues to be a national leader in clean energy with over 23% renewable energy in 2015 across the five island electric grids we serve. Our recently developed plans reflect the path to 100% renewable energy by 2045, the highest level of any state in the country and sooner on our smaller subsidiaries by 2030 on Molokai and Lanai and by 2040 on Hawaii Island and Maui. The path to 100% renewable energy will continue with five year action plans that will lay the foundation for even more progress. The near term action plans include implementing a smart grid by installing a modern wireless network, smart meters and other enhanced technology to modernize the existing power grid, increased customer options and improvement of the integration of distributed energy resources. As an important foundation for our clean energy plan the utilities also filed an application with the PUC requesting to install smart grid technology for more than 455,000 customers on Oahu, Hawaii Island and Maui County. The project cost is estimated at $340 million and is expected to begin as early as 2017 on Oahu and 2018 on Hawaii Island and Maui County and implemented over five years. The smart grid technology will improve outage detection and restoration and provide electricity usage information to help customers better manage their bill. It will enable automated services such as remote meter reads and provide system operators and engineers with data and tools for the monitoring and control needed to help achieve Hawaii’s 100% renewable energy goal. Other near term actions include growing private rooftop solar by more than 250% from current levels, issuing an RFP for a variety of renewable energy projects with a combined capacity of more than 350 megawatts to be developed by 2022. Pursuing energy storage options including both utility scaled systems and energy storage integrated with rooftop PV systems. Implementing community based renewable energy to allow customers who cannot or choose not to take advantage of rooftop solar to receive the benefits of participating in a renewable energy program and pursuing the benefits of LNG which can serve as a lower cost cleaner fuel during the transition to 100% renewal energy. Our next steps include updating our analysis for fuel prices by mid-year, we'll also reassess the scope and requirement for an inter-island cable as a Oahu will likely need a substantial amount of off-island renewable resources to meet our 100% renewable energy goal in 2045. We'll also do more research on offshore wind energy and we'll continue to evaluate other potential long term renewable resource options. We know that any plan that looks 30 years into the future will need to evolve as new technologies are developed and cost continues to decline. We want to work collaboratively with all stakeholders in our community to refine the plans going forward. I'll ask Jim now to cover Hawaii's economy, our financial results and outlook for the company.
Jim Ajello: Thanks, Connie, I'll start today with Hawaii's economy. Hawaii's tourism industry ended the first quarter of 2016 with continued strength in arrivals and expenditures as compared to the same period a year ago. Year-to-date visitor arrivals exceeded 2.0 million visitors and total expenditures of visitors amounted to more than $3.9 billion, increasing 3.6% and 2.6% respectively from 2015. State-wide unemployment was 3.1% in March of 2016, the lowest in eight years compared to 3.9% a year ago, still significantly below the national unemployment rate of 5% as of March 2016. Hawaii’s real estate activity remained strong during March of 2016 with medium sales price for single-family homes in Oahu at $725,000 up 3.6% from last year and up 7.2% year-to-date. Construction activity remained high, the activity is expected to continue in 2016 as planned and permitted building continues. Overall Hawaii’s year-to-date economic performance is being sustained by the continuing strength in the tourism industry and strong activity in the construction industry. The University of Hawaii forecasters expect real-estate GDP to grow 3.2% through 2016. As shown on Slide 6, first quarter 2016 GAAP earnings per share were $0.30 however core earnings per share which excluded merger and spin related expenses were $0.31 per share compared to $0.35 per share in the first quarter of 2015. Consolidated core net income was $2.7 million lower than the prior year quarter but core EPS was $0.04 lower due to 4.7 million additional shares from the settlement of the equity forward agreement in March of 2015. As shown on Slide 7, HEI’s GAAP consolidated ROE for the last 12 months was 8.4% excluding merger related and spin-off costs HEI’s core consolidated ROE was 9% with ROE contributions of 7.9% from the utility and 9.7% from the bank. On Slide 8, utility earnings were $25 million in the first quarter of 2016 compared to $27 million in the prior year quarter. The most significant net income driver was the $2 million in higher depreciation expense or increasing investments for customer reliability, greater system efficiency and the integration of more renewable energy. O&M expenses were relatively flat compared to the prior year quarter the first quarter of 2016 included higher than expected power supply improvement plan in LNG consulting expenses while the first quarter of 2015 included higher storm repair cost, bad debt reserves for one customer account and cost for the damage to a combined heat and power generating station. At the bank, net income for the first quarter of 2016 was $12.7 million, $2.3 million lower than the linked-quarter. Our results reflect $2 million of higher provision for loan losses after tax the higher loss provisioning was due to loan growth as well as higher provisioning during the construction phase of several commercial real estate projects along with a single commercial credit charge-off for the first quarter of 2016. This is compared to lower provisioning during the fourth quarter of 2015 due to net recoveries on previously charged-off loans. In order to provide a little more color on the provision, during the construction phase of commercial real estate projects, the bank provides at a higher coverage rate compared to the period after construction completion. Lending to construction projects increased $30 million compared to the linked-quarter. Compared to the linked-quarter the bank was also impacted by $1 million of lower non-interest income after tax compared to the fourth quarter of 2015 which included gains from the sale of mortgage servicing rights. These declines were partially offset by $1 million in higher net interest income after tax primarily attributed to loan and investment portfolio growth and higher yields on interest earning assets in the first quarter of 2016 compared to the first quarter of 2015, first quarter 2016 net income declined by $800,000 primarily driven by the following after tax. $2 million in higher provision for loan losses mainly driven by commercial real estate loan growth, and a commercial credit charge-off, and $1 million in higher non-interest expense driven by investment in our electronic banking platform and higher compensation expense, these two items were partially offset by $3 million higher net interest income in the first quarter of 2016 due to loan and investment portfolio growth and higher yields on interest earning assets. Slide 9 shows the utilities’ actual ROEs for the last 12 months, consolidated utility ROE of 7.9% in line with the 2016 guidance of about 8%. Turning to American Savings Bank on Slide 10, American delivered solid profitability metrics in the first quarter. Although we achieved a return on assets of 84 basis points we expect to achieve our 90 basis points target for the full year as loan provision normalizes. Annualized loan growth was 2.21% primarily in our targeted commercial real estate and consumer portfolios. We expect to meet our target of mid-single loan growth for the year. Our net interest margin was 3.62%, 10 basis points higher than the prior year quarter reflecting favorable mix impact of growth in higher yielding loan portfolios and higher yields in our variable rate portfolios. Our net charge-offs ratio was above our target of 15 basis points coming in at 21 basis points attributed primarily to one commercial borrower in the first quarter. We continue to improve our efficiency ratio through a combination of revenue growth and cost reductions. Our first quarter efficiency ratio improved by over 100 basis points to 63% from the linked-quarter at 64.2% and over 250 basis points improvement from the prior year quarter was at 65.5%. Overall the bank continues to maintain its low risk profile, strong balance sheet and straight forward community business banking model. On Slide 11, our net interest margin of 3.62% in the first quarter of 2016 was 7 basis points higher than the linked-quarter and 10 basis points higher than the prior year quarter of 2015. Our interest earning asset yield improved by 8 basis points from really due to growth in the higher yielding commercial real estate and consumer loan portfolios and higher yields in our investment portfolio. And our liability cost of 23 basis points was 1 basis point higher than the linked-quarter. On Slide 12, non-interest income was $1.4 million lower than the linked-quarter primarily due to the gain on sale of mortgage servicing rights in the fourth quarter of 2015 and fees on deposit liabilities which were lower mainly due to seasonality. Credit quality Slide 13 remains stable reflecting prudent credit risk management in the strong Hawaii economy. Provision for loan losses was higher than the linked-quarter and prior year quarter mainly due to the commercial real estate loan and a commercial credit charge off in the first quarter of 2016. Commercial construction project loans, which have a higher reserve ratio increased $30 million and $53 million compared to the linked and prior year quarters respectively. However, we are not changing provision guidance for the bank. The first quarter of 2016 net charge off ratio was 21 basis points primarily related to the charge off of the one commercial borrower. The allowance for loan losses was 1.13% of outstanding loans at $52 million at quarter end compared to 1.08% at the end of the linked-quarter and 1.03% of the prior year-end. On Slide 14 American’s non-performing asset ratio was 1.03% at the end of the first quarter of 2016 compared to 1.02% at the end of the fourth quarter of 2015, and 0.8% at the end of the first quarter of 2015. The increase from the fourth quarter of 2015 was primarily due to the reclassification of two commercial loans which are still payment current. Slide 15 illustrates American’s continued attractive asset and funding mix relative to our peer banks. American’s March 31, 2016 balance sheet is stacked against the last complete available dataset from our peers which is December 31, 2015. Nearly 100% of our loan portfolio was funded with low cost core deposits versus the aggregate of our peer banks at 84%. In the first quarter total deposits increased $115 million, or 9.1% annualized while maintaining a very low cost of funds of 23 basis points, 20 basis points lower than the median of our peers. American remains well capitalized at March 31st with a leverage ratio of 8.7%, tangible common equity to total assets ratio of 8.1% and a total capital ratio of 13.2%. In the first quarter of 2016 American paid $9 million in dividends to HEI while maintaining healthy capital levels. Now I’ll address HEI’s outlook for 2016. Turning to Slide 17, given our PSIP filing on April 1 that Connie discussed earlier, we are now providing our preliminary 2017 and 2018 rate base and CapEx estimates, net of contributions in aid construction of $480 million and $500 million respectively. We want to stress that the rate base and capital expenditure estimates shown on the slide especially for 2017 and ’18 may vary as to timing and exact amount depending on what is approved at the Public Utilities Commission. We expect that these forecast CapEx levels and the timing of plant being placed into service will result in annualized rate base growth of 4% to 5% through 2018. And there was no change to the 2016 CapEx estimate of $450 million. We are reaffirming HEI’s 2016 earnings guidance of $1.62 to $1.75 per share, excluding any merger and spin expenses. However, at the utility although we are maintaining the utility’s EPS range of $1.28 to $1.36 we now expect utility O&M to be lower by 4% instead of 5% that we were guiding to last quarter, mainly due to the higher expected cost related to the update of our power supply improvement plan and the LNG agreements. At the bank, there are no changes to the EPS guidance range and key assumptions. I’ll now turn the call back to Connie.
Connie Lau: Thanks Jim. In summary, our utility is continuing its transformation into a next generation utility by focusing on expanding customer options and lowering customer bills and leading the industry in integrating renewable and in distributed resources. Our bank will continue to focus on its core banking business, targeting mid single-digit loan growth and strong credit quality while also preparing for the life as an independent public company. And on Tuesday our Board maintained our quarterly dividend of $0.31 per share continuing our interrupted dividend payment since 1901. The dividend yield continues to be attractive at 3.8% as of yesterday's market close. Finally, we continue to believe that the right partner for Hawaiian Electric is NextEra Energy which brings a powerful combination of renewable energy expertise, operational and technological knowhow and financial strength necessary for achieving Hawaii's 100% renewable energy goal. And with that, we look forward to hearing your question.
Operator: [Operator Instructions] And our first question or comment comes from the line of Charles Fishman with Morningstar. Your line is now open.
Charles Fishman: Connie if I could I'd like to ask you the same question I asked last quarter, have you detected any change since our last access in the governor's position on the merger?
Connie Lau: Since that last call Charles the governor has not come out with any additional statement, so there is no change at least from our perspective and now that the docket is complete and the decision is before the Public Utilities Commission, I think the regulatory process is really the one that will govern at this point in time.
Charles Fishman: Okay. And then my second question related to the merger is, I would just assume and, there's ongoing or there will be discussions with NextEra on extending the merger agreement and I don't know is there anything you could say about that or I certainly understand if you can't?
Connie Lau: Yes I really can't comment on that Charles.
Operator: And our next question or comment comes from the line of Michael Goldenberg with Luminus Management. Your line is now open.
Michael Goldenberg: I have several questions, have you and NextEra had discussions about expanding agreement by June 3rd?
Connie Lau: I think I've just answered that, Charles asked the same question.
Michael Goldenberg: Oh I am sorry I missed it.
Connie Lau: [Multiple Speakers] comment, yes.
Michael Goldenberg: I'm sorry there was an announcement in the building, okay, then I'll move on to another question that I had. On the last Q4 call, I think we had a discussion about rating agencies, and if I remember correctly, the answer was that at 300 million CapEx level rating agencies were definitely comfortable, so these slides have forward CapEx of about 480 million or 500 million and I'm wondering have rating agencies -- have you discussed it with rating agencies?
Jim Ajello: Michael this is Jim Ajello, on the last call we did discuss that I can recall, we have not had specific conversations with the ratings agencies, but these CapEx numbers that you're seeing were embedded in the power supply improvement plans that were filed at the Commission and I have no feedback for you there on those but those have been out for a bit of time now.
Michael Goldenberg: Do you feel that you may need to do equity issuance for that CapEx, so you can accomplish that amazing credit rating without equity issuance?
Jim Ajello: Okay. So, our policy is to maintain investment grade credit ratings and we begin with the premise that the CapEx that has been outlined here today and in the power supply improvement plans meet really three criteria, number one, they're beneficial to customers; number two, we could manage the projects embedded in the plans, in particular you'll see the Schofield Generating system in that plan you'll see the Hamakua Energy Project acquisition in that plan and then; number three, that they're financeable within our policies and within the ratings that we have. So, we back test that all the time and I'm sure in due course we'll have conversations with the rating agencies.
Michael Goldenberg: So, just so I am clear you do not think yes equity, you said you know no equity, you said we will see?
Jim Ajello: Well, I'm saying that we will maintain the capital structure that we are obliged to maintain in regulation at the utility and you should expect that the capital structure that HEI profiles today will continue. And so that will, I won't comment exactly on the amounts involved because these are preliminary filings that you see which haven't been reviewed yet or approved, but you can assume the maintenance of the standard capital structure that we have, if these numbers were to come to pass of course I think as you probably infer there's a balance of equity and debt that will be required at HEI and Hawaiian Electric companies and cash flow of course.
Connie Lau: And Michael let me just add I think what you're hearing Jim say is that, you would not see any difference in our policies or practices from prior year and therefore as the capital expenditures are approved by the commission and we go forward with them, we would always make sure that they were as Jim said beneficial to our customers, executable and financeable and part of that is that we do have our dividend reinvestment program open now and that has also been consistent with past practice to utilize that program to raise small amounts of equity on an ongoing basis.
Operator: And our next question or comment comes from the line of Paul Patterson with Glenrock Associates.
Paul Patterson: So the Slide 17 is basis of how should we think with further changes that we’ve had with respect to the tracking, the trackers and what have you and just your general outlook how should we think about the potential for rate lag during that period that you guys give us a read through that you show on Slide 17?
Connie Lau: So, I think Paul you know from last year when the decoupling mechanism was changed to add a cap on the rate base ramp that we have now begun to manage our capital expenditures in accordance with that cap. And so because of that we would expect any difference in the regulatory lag on capital expenditures than you saw begin in 2016 although 2016 was a transitional year.
Paul Patterson: And then when we look at the bank there was $1 million associated, there was a decrease I think in non-interest income because you guys, well you mentioned that there was a benefit from the mortgage, I apologize the term isn’t coming to mind right now the?
Jim Ajello: Servicing rights, Paul.
Paul Patterson: Right. The servicing rights, so was that the reason why -- is that pretty much the entire reason why that was responsive for the lower non-interest income or was there anything else?
Rick Wacker: No that, Paul this is Rick Wacker. Yes, that is the principal driver in there.
Paul Patterson: Okay. And then to the question, there was an article regarding the chairman of the PUC’s statement regarding the possibility of having a decision by the 3rd, I think you said it was like 50-50. Just could you remind us in the absence of an agreement with NextEra or what have you or what would happen if June 3rd was to come and go and there was no decision?
Connie Lau: Sure. Paul under the merger agreement as of June 3rd either party, if we have not closed by that time, either party can decide to exit the agreement.
Paul Patterson: And if no party decides to do that what happens?
Connie Lau: It just continues on.
Paul Patterson: Okay. For units like these in agreement to -- in theory one could just wait until the PUC rules.
Connie Lau: Yes. If that’s what each party decides to do now after June 3rd individually then the agreement would just continue.
Operator: Our next question or comment comes from the line of Andrew Weisel with Macquarie Capital. Your line is now open.
Andrew Weisel: Another question up, I really appreciate the extended guidance for a rate base in CapEx. One thing that I am a little bit surprised about is the range you show is relatively narrow. So what gives you the confidence that that bottom of the range is truly a floor for the CapEx given how robust review the PSIP is and that we haven’t really as far as I know gotten a tonne of feedback from regulators relative to what you filed close to 2 years ago?
Tayne Sekimura: Andrew this is Tayne. Let me take that question. So if you look nearer term the range is actually smaller so for 2016 there is a lot more clarity. One of the question marks would be the Hamakua Energy Partners acquisition which is still pending before the PUC. But as we look further out in 2017 and ’18, the range for the rate base growth does grow and that expansion of the range really reflects the uncertainty in terms of the timing of some of these plant additions as we await PUC approval for some of these larger projects such as Smart Grid we have that application pending before the PUC as well as our ERP project.
Andrew Weisel: Okay. So in other words you think that’s sufficiently wide to show a range of potential outcomes from the PUC?
Tayne Sekimura: Yes, we do believe that.
Jim Ajello: Remember there are three very significant individual items embedded here right the Smart Grid as we mentioned in the remarks over 300 million-340 million you’ve got ERP coming up that’s also a large project and Schofield is in there for construction. So while the range is narrow these are pretty discernible projects and should they be approved I think there is a descent opportunity here to grow. So this is different than the past when we didn’t have as many discrete larger projects. So I would add to what Tayne said that the profile is changing here as larger projects are implemented.
Connie Lau: And below that Andrew of course there is the maintenance level of CapEx.
Andrew Weisel: And I assume this is the case, but this reflects bonus depreciation in each of the years, right we talked about that in the last call but this is all after bonus depreciation?
Jim Ajello: That’s correct and there is no change in what we had said on the last call relative to bonus D.
Andrew Weisel: My next question is on the guidance, you explained the change to the utility O&M being a little bit less of a year-over-year decline, but given the change to the total guidance ranges. Does that mean that we’re still within the range but maybe towards the lower end or is there some kind of offset that might pick up the flag?
Jim Ajello: Yes, and yes. I am laughing because it's early in the year so we do want to be complete straight forward to that based on the first quarter’s results and the additional consulting expense for a very-very significant can’t stress that enough effort that the utility put in also with consultants on the PSIP filings and the LNG activities. That actually puts us a little behind the O&M run rate, so we wanted to be clear that it would minus 4 next -- this year versus minus 5. However, we all will try to make that up as the year goes and with respect to the earnings themselves there is no change to the range. The math has it I guess such that you’re correct there might be slightly lower end to the range but we will try we won’t stop trying to preserve as much as we can of that range.
Andrew Weisel: The next question I had on Slide 34 about the rate case filings. The HELCO 2016 test year rate case visually the box is more to the right. Is that just to show the passage of time that we haven’t seen the filing in 2016, or maybe if you can just elaborate a little bit more on when those rate cases might be filed? And if that depends on whether or not the merger closes?
Connie Lau: It does not depend on whether the merger closes. This was a filing that we have made with the commission earlier to allow us to file the 2016 test year rate case by the end of 2016, and so that would the time schedule for that, and that’s the reason -- it's a little bit further over. Normally we would be filing earlier in the year.
Andrew Weisel: And then my last question, if you’re able to comment why was your stock halted for about an hour this afternoon? What was going on there?
Jim Ajello: Andrew, it’s Jim. In the ordinary course of New York Stock Exchange might halt trading in terms of both issuer protection on disclosure as well as the regular market activity. In our case the earnings results both GAAP and core were different than the consensus expectations. Number two, there was a lot of volatility this morning. I think number three, yes the utility sector was the highest performing sector this morning and then we had a number of filings stacked up within let's call it the roughly 130 timeframe including of course 8-K on the earnings release, the 10-Q which has been filed. And in addition this morning amendment 2 of Form 10 which is the registration statement for the bank was filed literally on moments after those. And so in the ordinary course the New York Stock Exchange halted trading for about 45 minutes and it is now of course back underway given the fullness of all of the disclosures that have been released and then this call, so a very-very short period of time.
Operator: And our next question or comment comes from the line of Jackie Chimera with KBW. Your line is now open.
Jackie Chimera: I wanted to start first with the NIM. How much of the expansion that occurred in the quarter was due to just general loan mix into as more profitable yields versus the December rate movement?
Rich Wacker: Quarter-over-quarter, Jackie this is Rich. Quarter-over-quarter versus fourth it is principally pricing improvement. There is about a basis point of mix improvement but most of it is price improvement and we saw that in most of the portfolios, so we side in the consumer book, the commercial real estate, commercial markets and even in our home equity line we saw a little bit of bump on pricing for the lines that are not below the floor. So it's pretty good general price improvement.
Jackie Chimera: Okay. And why did that rate bump and understanding that the yield curve has been subsequently flattened. What does that do for new loan production in the quarter versus where you are -- so rate on new loan production versus where your yields are at presently in the portfolio?
Rich Wacker: With the exception of the res book most of the new production is coming in pretty comparable to the existing portfolio yields, there's not a lot of lag on the commercial side, the new stuff from commercial real estate slightly better and the res book is about flat now actually, when you start coming into portfolio yield.
Jackie Chimera: And then it looks like there wasn't much of a change in times of deposit pricing, if at all?
Rich Wacker: Correct, there's a basis point higher cost on deposits overall but that's mix of a little bit higher CDs mostly coming from public funding.
Jackie Chimera: So, in light of all of that and that loan yields are doing better, deposit costs haven't really moved, all right and the NIM was up quite a bit quarter-on-quarter, why is it the guidance is still at 3.45 to 3.55, does that implies that it would trend down from here?
Rich Wacker: I think the ranges that we gave are still good on overall, so the NIM is a little bit stronger, but you have a pretty good range there overall for how we're going to do and as we come through prior to the next quarters we do have project costs and things related to our e-banking projects and other things that are coming in as well, so the quarters are choppy, they're not all equal, as we go through the year and we feel good about the overall guidance.
Jackie Chimera: And I mean specifically the NIM, because if I look at it at 3.62 in the quarter it's well above the upper-end of the range, and if there's something that you could drive it back down into that range?
Rich Wacker: I think you -- it's, new production depending on the mix of the new production hasn't come in, relative to the average overall, so as we look at that I think it's going to be, it'll be more around that, the mix on the new production.
Jackie Chimera: So, construction growth that you had in the quarter, was that net new generation or was that drawdowns on existing lines you may have had in place last quarter?
Rich Wacker: Principally fundings of existing lines.
Jackie Chimera: And do you have more to fund?
Rich Wacker: Yes, and we also have projects that are complete as we go through the year too.
Jackie Chimera: Okay.
Rich Wacker: So, that's part of the driver and why we expect provision to come back in line in future quarters, because coverage on completed projects is lower than when they're in the construction phase and some of the projects as you know pay down and convert to mortgages if we can get them or as they -- in the case of residential projects they'll convert, they'll just pay down with sales of the units in those buildings.
Jackie Chimera: And then just lastly the -- I know that last quarter the compensation expense line it included quite a bit from pension benefit expense, was that reduced this quarter, does that drive that was linked quarter decline?
Rich Wacker: So, there is pension expense reduction in the quarter based on where discount rates and yields were at the end of the year, so we are seeing a few $100,000 a quarter benefit from lower pension expense, that's one of the drivers. Some of it is timing around our project spend, so there's several factors in there and pension is one of them.
Operator: [Operator Instructions] And our next question or comment comes from the line of Andy Levi with Avon Capital. Your line is now open.
Andy Levi: I apologize if you kind of went through this already but just very quickly on the incremental CapEx, is most of that like kind of big projects that will automatically go into rates, such rate base or do you have to file for a rate recovery for the incremental portion? And I know we went through some of the stuff that are coming online -- you have two big projects that are coming online this year and next year but beyond those two?
Jim Ajello: Yes Andy it is Jim, I'll just refresh, you're instinct and recollection are correct, the two big projects are the Hamakua Energy project that is now pending approval at the PUC, it's 85 million, that's at the lower part of the chart. The Schofield project is a new build construction and that will take a little more than two years to build which has been approved by the PUC, so there's more certainty there. And then in the period, recent here filed for the smart grid, right, which has not been approved yet, so that's $340 million, so that is pending approval and you can expect that if approved as we had proposed it that 2017 to '21, is the period of time of spending there. So, these…
Andy Levi: And as far as the smart grid would go right into rates as you said it assuming it gets approved?
Jim Ajello: If it's approved, yes.
Andy Levi: And then is that, the Smart Grid is the -- I guess you haven’t given ’17 and ’18 CapEx and so now you are giving it and like we were guessing the number was going to be just on the low end of 300 each year just kind of a placeholder. So that incremental portion on top of maybe what we were assuming, what would be your base CapEx I guess, that is all Smart Grid or is that something else?
Jim Ajello: I think it’s principally Smart Grid it wasn’t the case that we necessarily indicated about a $300 million number but...
Andy Levi: No, no, no we get it we were discussing out, don’t misunderstand me.
Jim Ajello: Yes.
Tayne Sekimura: Yes actually and when you look at the 2017 detail on the major projects from your 300 number you add Schofield which is already approved and then you have got the other two to Smart Grid and ERP in there that are still pending approval.
Andy Levi: Okay. So really the incremental portion on top of let’s say your baseline CapEx that should theoretically if everything goes right commission wise kind of flow in the earnings as you spend it or as it comes out or as it gets completed I guess depending on the project and would it need separate rate cases for that. Is that correct?
Tayne Sekimura: Yes. That’s correct.
Jim Ajello: With AFUDC.
Andy Levi: Okay. So I get that. So that’s good and then just on I think you may be discussed this but just on the funding of it your operating cash flow I am guessing is probably in the 400 to 450 range something like that and dividend is about $100 million or something like that. And then so with $400 million to $500 million of annual CapEx and I guess your equity ratio in the mid to high 50s on the parent level if I am not mistaken how should we think about funding and again if this is the level of CapEx and your standalone you’re not obviously with NextEra but I am just trying to see what the standalone earnings power obviously would be and whether there would be a need for incremental equity or whether you could fund this just regular sources and debt?
Jim Ajello: Yes, I am glad you mentioned the standalone because that’s the profile that we have here. First of all the parent company assumption on equity is going to be in the 51 or so percent range the debt to cap maybe 49-51 let’s say altogether we’ve been running a little heavier currently but your question I think is more perspective we should assume about a 50%-51% equity level. The utilities’ equity levels of course are in regulation and they are if you look at the back of the book, you’ll see each of the equity levels so they are in the order of 57% to 58% equity levels. So you could make that assumption. You could assume that there will be really four sources, you’re on to cash flow is number one, there will be a mixture of debt at the utility and at the Holdco to maintain the ratios that I spoke about, as well as the investment grade ratings. And then of course I would estimate that although we haven’t lined it out yet on a multi-year level if you just, you can easily back into the fact that there will be equity. There is presently the drip given a reinvestment plan on for original issuance right now. That’s only about 1.2% dilution this year. But going into the out years I would expect with on the order of $1 billion more capital here if approved and we will wait to see line of sight on that before we do issuance or at least feel comfortable about the expenditures but there will be a mixture of equity and debt down the line.
Andy Levi: Again standalone, how much do you get from NextEra if the deal doesn’t happen, just remind me of that?
Jim Ajello: Yes, there is a termination fee of $19 million plus.
Andy Levi: And that is, go ahead $19 million plus.
Jim Ajello: $19 million plus $5 million of expense allocation and Andy I just wanted to go back to the prior presentation on the cash flow, the bank is expected to continue to pay its dividend.
Andy Levi: Sorry.
Jim Ajello: And so I think that is for all intents and purposes that’s a kind of a equity like contribution.
Andy Levi: That is right that is top $14 million is that correct, between that?
Jim Ajello: That’s a good round number when you think about the look or frame right?
Andy Levi: Right, okay, and then that 90 million to 95 million you get from NextEra is that taxable and have you received that yet or that would be incremental cash?
Jim Ajello: Well no Andy.
Andy Levi: No, no as I still remember, I don’t mean it in that respect. I just don’t know what [Multiple Speakers].
Jim Ajello: It wasn’t a prepay type of fee it was one due so the 95 million would be considered taxable income.
Andy Levi: That would be taxable okay.
Jim Ajello: Just in the regular corporate rate yes.
Operator: And our next question or comment comes from the line of Tim Winter with Gabelli. Your line is now open.
Tim Winter: Connie and Jim I was just wondering if you could sort of update us on the thinking of the bank spin, should the merger not go through?
Connie Lau: Yes so Tim it would be very similar to our policies as in the past. We always take a look at the structural alternatives on a regular basis for our Board. If the numbers make sense then we would consider it. But that would be the process that we would go through.
Tim Winter: Do you know if there would be any different types of filings or in implications to IPO the bank as opposed to spin it? Should the merger not go through?
Connie Lau: No, I mean the process is very similar to and of course as you know to do a tax re-spin you would first do 20% and then the remaining 80% later. And so that could be done.
Jim Ajello: I mean Tim it's Jim, the subtle reference here is that you now have a very-very mature Form 10 pending at the SEC as of an hour ago, you would typically file an S1 if you didn’t an IPO but the substance of the information is basically the same, right so not a hard transition to make.
Connie Lau: And Tim I think you know the way in which we’ve always run the operating companies, we’ve always run them quite separate, and so that’s the reason why even in this transaction in getting ready for a spin of the bank before a merger of the utility was relatively easy for us to do because of the separateness of the two very highly regulated operating companies.
Operator: And at this time, I am showing no further questions or comments. So with that said, I’d like to turn the call back over to Manager of Investor Relations Cliff Chen.
Cliff Chen: Thanks Andrew. We appreciate everyone’s participation on today’s call. I hope everyone has a good day. Thanks.